Operator: Hello ladies and gentlemen and welcome to Himax Technologies Inc. third quarter 2023 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. To ask a question during this session, you will need to press star-one-one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star-one-one again. As a reminder, this call is being recorded. I would now like to hand the conference over to your host, Mr. Mark Schwalenberg from MZ Group. Sir, you may begin.
Mark Schwalenberg: Thank you. Welcome everyone to the Himax Third Quarter 2023 Earnings Call. Joining us from the company are Mr. Jordan Wu, President and Chief Executive Officer, Ms. Jessica Pan, Chief Financial Officer, and Mr. Eric Li, Chief IR/PR Officer. After the Company’s prepared comments, we have allocated time for questions in a question and answer session.  If you have not yet received a copy of today’s results release, please email HIMX@mzgroup.us, access the press release on financial portals, or download a copy from Himax’s website at www.himax.com.tw. Before we begin the formal remarks, I’d like to remind everyone that some of the statements in this conference call, including statements regarding expected future financial results and industry growth, are forward-looking statements that involve a number of risks and uncertainties that could cause actual events or results to differ materially from those described in this conference call. A list of risk factors can be found in the company's SEC filings, Form 20-F for the year ended December 31, 2022 in the section entitled Risk Factors, as may be amended. Except for the company’s full year of 2022 financials, which were provided in the company’s 20-F and filed with the SEC on April 6, 2023, the financial information included in this conference call is unaudited and consolidated and prepared in accordance with IFRS accounting. Such financial information is generated internally and has not been subjected to the same review and scrutiny, including internal auditing procedures and external audits by an independent auditor to which we subject our annual consolidated financial statements, and may vary materially from the audited consolidated financial information for the same period. The Company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise.  I will now turn the call over to Mr. Eric Li. Eric, the floor is yours.
Eric Li: Thank you Mark, and thank you everyone for joining us. My name is Eric Li, Chief IR/PR Officer at Himax.  On today’s call, I will first review the Himax consolidated financial performance for the third quarter of 2023, followed by our fourth quarter outlook. Jordan will then give an update on the status of our business, after which we will take questions. We will review our financials on an IFRS basis. We are pleased to report that Himax third quarter revenues and profit both exceeded our guidance, while gross margin came in at the upper end of the guidance range issued on August 10, 2023. The better than expected results are attributable to the resilience of our core business in the face of macroeconomic challenges. Third quarter revenues registered $238.5 million, an increase of 1.5% sequentially and up 11.6% on a year-over-year basis, exceeding the guidance range of a 7% decline to flat sequentially. This can be credited to positive order momentum across all business segments. Gross margin came in at 31.4%, a substantial increase from 21.7% of last quarter and at the upper end of our guidance range of 30.5% to 32%. The Q3 gross margin improvement reflected the absence of the one-time expense incurred in the second quarter related to the strategic termination of certain high cost foundry capacity agreements, in addition to a favorable product mix primarily driven by the remarkable performance of our automotive product line, which maintains a higher margin profile than corporate average. Q3 profit per diluted ADS was $0.064, exceeding the guidance range of $0.015 to $0.06. Revenue from large display drivers came in at $43.7 million, a decrease of 3.7% sequentially but up 5.9% year-over-year. DDIC sales declined as expected as customers already replenished their inventory in previous quarters and suspended further pull-ins. Monitor and notebook IC sales were up single digits and nice double digits respectively in third quarter, predominantly driven by rush orders from key customers. Large panel driver IC sales accounted for 18.3% of total revenues for this quarter compared to 19.3% last quarter and a year ago. Moving onto our small and medium sized display driver segment, revenue was $151.1 million, an increase of 7.2% sequentially and up 13.9% compared to same period last year, surpassing the guidance range due to better than expected sales performance, particularly in automotive sector and the TDDI products. Q3 automotive driver sales saw a decent double digit sequential increase thanks to a strong uptick in both TDDI and the traditional DDIC as clients worldwide resumed order replenishment. Smartphone and tablet driver sales, on the other hand, decreased double digits and mid-teens sequentially, reflecting continued soft market demand. In the third quarter, the automotive business remained our largest revenue contributor, accounting for nearly 45% of total sales. One notable highlight during the quarter was our commencement of the world’s first mass production of LTDI. This further demonstrates our leadership position in the lucrative automotive display battlefield. Jordan will elaborate in a few minutes. Small and medium sized driver IC segment accounted for 67.6% of total sales for this quarter compared to 63.9% in previous quarter and 66.2% a year ago. Third quarter non-driver sales also exceeded guidance with revenue of $33.7 million, down 14.4% from a quarter ago but up 9% compared to same period last year. The better than expected performance was a result of higher shipments of WLO and CMOS image sensors. Tcon business represented over 8% of our total sales in the third quarter, yet experienced a low teens sequential decline hampered by decreased demand for both large display panels and AMOLED display for tablets.  On a positive note, we continue to solidify our leadership in automotive Tcon markets with local dimming technology adoption rising rapidly by leading panel makers, Tier 1s and car makers across the board. With numerous project awards already in hand, we expect a strong growth trajectory for automotive Tcon in the next few years. Non-driver products accounted for 14.1% of total revenues as compared to 16.8% in the previous quarter and 14.5% a year ago.  Third quarter operating expenses were $63.7 million, an increase of 19.8% from the previous quarter but down 12.5% from a year ago. As a reminder, we grant annual bonuses to employees at the end of September each year, including RSU and cash awards. Our 2023 annual bonus compensation of $10.4 million was in line with guidance, out of which $9.7 million or $0.044 per diluted ADS was immediately vested and expensed in the third quarter. In comparison, bonuses for 2022 and 2021 were $39.6 million and $74.7 million respectively, of which $18.5 million and $24.8 million were vested and expensed immediately. The changes in Q3 operating expenses were mainly associated with the way we expense the employee annual bonus grants based on IFRS accounting.  To clarify, the Q3 bonus expense includes two portions. First, as mentioned above, $9.7 million for the immediately vested and recognized portion of the current year bonus grant, that is based on the expected profit for the full year. Second, $6.2 million for the amortized tranches of the prior year’s bonuses. As a reference, the amortized expense of the prior year employee bonuses for full year 2023 would be as high as $21.8 million due to substantially high profits in 2021 and 2022, leading to a significantly increased bonus carryover amortization expense. This has caused the volatility in our IFRS figures for 2023. [Indiscernible] for the annual bonus grant, Himax has always followed a consistent compensation policy and rules for employees. Amidst the prevailing macroeconomic headwinds, we are currently exercising strict budget and expense control with full year 2023 opex poised to decline compared to last year.  Third quarter operating income was $11.1 million or 4.6% of sales, compared to 1.8% of sales for the same period last year and minus-0.9% last quarter. The sequential increase was primarily a result of increased sales and gross margin, partially offset by higher operating expenses in the third quarter. The year-over-year increase was primarily a result of lower operating expenses brought by lower annual bonus compensation, partially offset by lower gross margin compared to same period last year.  Third quarter after-tax profit was $11.2 million or $0.064 per diluted ADS compared to $0.9 million or $0.05 per diluted ADS last quarter and $8.3 million or $0.048 in the same period last year. Turning to the balance sheet, we had $155.4 million of cash, cash equivalents and other financial assets as of September 30, 2023 compared to $227.9 million at the same time last year and $219.5 million a quarter ago. Third quarter cash flows were impacted primarily by two cash payouts: $83.7 million for annual dividends and $29.5 million for employee bonus. The employee bonus is comprised of $9.3 million for the immediately vested portion of this year’s award and $20.2 million for vested awards granted over the last three years. Despite the substantial payout in Q3, we delivered strong positive operating cash flow of $16 million, again due to the ongoing destocking process across major product lines with inventory rates experiencing a meaningful reduction compared to the past quarters. We had $42 million of long term unsecured loans as of the end of the third quarter, of which $6 million was the current portion.  Our quarter-end inventory as of September 30, 2023 was $259.6 million, markedly lower than $297.3 million last quarter. Accounts receivable at the end of September 2023 was $248.5 million, up from $239 million last quarter and down from $253.3 million a year ago. DSO was 95 days at quarter end as compared to 90 days last quarter and 74 days a year ago. Third quarter capital expenditures were $2.6 million versus $2.9 million last quarter and $3.4 million a year ago. The third quarter capex was mainly for our IC design business.  As of September 30, 2023, Himax has 174.7 million ADS’ outstanding, little changed from last quarter. On a fully diluted basis, the total number of ADS outstanding for the third quarter was 174.8 million.  Now turning to our fourth quarter 2023 guidance, we expect fourth quarter revenues to decline 5% to 11% sequentially. Gross margin is expected to be around 30%, depending on the final product mix. The fourth quarter profit attributable to shareholders is estimated to be in the range of $0.09 to $0.13 per fully diluted ADS. I will now turn the call over to Jordan to discuss our Q4 outlook. Jordan, the floor is yours.
Jordan Wu: Thank you Eric.  We expect our fourth quarter sales growth to be relatively subdued compared to typical seasonal trends, primarily due to sluggish end market demand as well as cautious inventory management and rigorous procurement scrutiny by our customers. Additionally, ongoing macro headwinds are limiting our visibility as panel customers remain tentative about demand prospects, leading to a short term focus and more frequent last minute orders.  Having said that, our midterm outlook for the automotive business, our largest revenue contributor, remains positive as we maintain a dominant position in the sector. The majority of our design wins in TDDI and local dimming Tcon, both relatively new technologies for automotive sector, are slated to commence mass production during the next two years, thereby further fortifying our market share leadership amidst growing competition. When coupled with the megatrend of increasing quality, size and sophistication of displays inside vehicles, Himax is poised to enjoy sustainable growth in the automotive market for years to come, regardless of other industry headwinds or macroeconomic challenges. Amidst the prevailing challenging economic conditions, we continue to implement a range of measures to reduce costs, including improving manufacturing and operational efficiencies and leveraging diverse partners in foundries and back end sources. The recently announced partnership alliance with Nexchip in automotive is an illustration of Himax’s foundry supply diversification strategy. The collaboration expands Himax’s foundry supply while optimizing cost structure for the thriving automotive market, especially in China. In terms of inventory, the destocking process is progressing nicely with Q3 seeing a meaningful reduction. Currently, we are nearing historical average levels after several quarters of aggressive inventory depletion. Thanks to accelerating growth in our automotive business, improved cost structure, normalized inventory levels, variable product mix and our emphasis on higher margin, higher value-added areas like Tcon, OLED and AI, we are well positioned to deliver sustainable long term revenue growth and profitability. With that, I will now begin with an update on the large panel driver IC business. For our fourth quarter, our fourth quarter 2023 large display driver IC revenue is projected to decline by double digits sequentially, reflecting the absence of festival season shopping this year and intensified China local competition. In the TV IC business, leading end brands continue to implement stringent production control measures amidst soft demand and our maintaining low inventory levels. Consequently, we expect a double-digit quarter-over-quarter decline in Q4 TV IC sales. Notebook and monitor ICs are also facing a challenging business environment where we expect sales for both product lines to decrease by double digits sequentially. Turning to the small and medium sized display driver IC business, fourth quarter revenue is expected to decline single digits on the backdrop of a muted festival season, where demand for consumer electronics remains sluggish. Smartphone sales are projected to decline double digits, while tablet sales are expected to increase single digits sequentially in Q4. Automotive revenue is expected to be flat or slightly down sequentially, following a surge in orders resuming for both traditional DDIC and TDDI during the previous quarter. Q4 automotive TDDI sales are poised to continue to increase by low teens sequentially, fueled by strong customer orders across the board and supportive governmental policies, especially in China and the U.S., and at incentivizing new vehicle purchase. Secured design win projects for automotive TDDI continue to expand across the board and now total nearly 400, significantly ahead of our peers. Remarkably, automotive TDDI sales are expected to account for almost 40% of total automotive driver sales in Q4. As Eric mentioned earlier, automotive driver sales are now our largest revenue contributor and if combined with automotive Tcon is set to represent almost half of our total sales in Q4. Moving onto our industry-leading LTDI, as we recently announced, Himax is the first in the world to commence mass production of LTDI for certain customers and EVs, starting in Q3 this year. We expect LTDI adoption to further proliferate as it gains traction in car models featuring large size displays, as car makers look to distinguish their vehicle products. Additionally, we are seeing an increasing number of customers choosing to adopt our integrated LTDI and local dimming Tcon solution as the standard platform for the ultra-large automotive display development.  These newly designed automotive displays are typically larger than 30 inches, deliver a sharp detailed visual experience, and incorporate high intensity cross-functionality--high density cross-functionality which typically necessitates the utilization of six or more LTDI chips together with at least one local dimming Tcon, representing much higher content value for us on a per-panel basis. This not only ramps up the new revenue stream but also reinforces our leadership position in the automotive display market as we move into 2024. Himax stands at the forefront of the automotive display IT market with a diverse product portfolio covering the full range of specifications and technologies, including DDIC, TDDI, local dimming Tcon, LDTI, and AMOLED. These holistic offerings cater to a wide range of customer preferences and needs, fostering strong customer loyalty and collaborations with global panel makers, Tier 1s and car makers. We expect our automotive segment to continue to be a key growth driver for us. In terms of our smartphone and tablet product lines, we continue to see lackluster demand in the market. On a positive note, our inventory has substantially rebalanced to a satisfactory level after consecutive quarters of inventory depletion. With the destocking process nearly complete, we placed wafter starts for select products starting in Q2 this year and continue to work on improving our cost structure with the aim of improving our efficiency for when demand returns. Next for an update on our AMOLED business, by partnering with leading panel manufacturers in Korea and China, we are accelerating our AMOLED driver IC advancements, covering various applications from automotive and tablet to smartphones, notebooks and TVs. In the automotive AMOLED sector, our design wins are steadily increasing from both traditional car manufacturers and NEV vendors worldwide.  For smartphone AMOLED display drivers, sluggish demand in the smartphone market has resulted in a slight delay from our original targeted timelines; nevertheless, we continue collaborations with customers from Korea and China, where ongoing verification and partnership projects are in progress.  I would now like to turn to our non-driver IC business, where we continue to make steady progress. First for an update on our Tcon business, we anticipate Q4 Tcon sales to decrease double digits sequentially, hampered by reduced shipments for large size displays and OLED displays for tablets as customer inventory off-loading continues due to subdued end market demand. Despite the soft market sentiment, we are actively developing the next generation Tcon IC for OLED tablets, notebook and automotive, aiming to diversify our offerings and strategically position ourselves for a resurgence in demand. Moving onto our automotive Tcon business for LCD panels, our position remains unchallenged in local dimming Tcon, evidenced by growing validation and widespread deployment globally in both premium and mainstream new car models. We plan to roll out a series of Tcon for automotive to expand our product offerings catering to different needs of global customers.  Global dimming technology has far increasing application in automotive display initially for high end car models and gradually into mainstream vehicles. One emerging use case is in heads-up display, or HUD, thanks to our Tcon’s unique ability to deliver a high contrast ratio for selected content, along with slow heat dissipation and minimal power consumption. Our local dimming Tcon can effectively eliminate the frequently occurring so-called postcard effect in HUD applications caused by backlight leakage in TFT LCD panels that shows a square shaped display image on the windshield. Our automotive Tcon business is poised to experience explosive growth with strong momentum expected in 2024 and years to come, serving as one of our major growth engines. Switching gears to the Wi-Fi smart image sensing total solution, which incorporates Himax’s proprietary ultra-low power AI processor, always-on CMOS image sensor, and CNN-based AI algorithm. For notebook, we continue to support the mass production of Dell’s notebook. Given the growing prevalence of the human presence detection feature in notebooks, our engagement with global notebook names for their next-generation products are progressing nicely. Our WiseEye solution is also in production across a range of endpoint AI applications, including video conference device, automotive, access control, shared bike parking, door lock and smart agriculture, among others. Notably, WiseEye adoption is also going smoothly in door lock applications where we joined forces with leading door lock players in China with mass production expected to commence starting the end of this year.  Moreover, the latest smart door lock design surpasses the existing human presence detection feature and takes a step forward to support an additional camera set, enabling dual camera functionality. The secondary camera can be oriented downward for ground level status monitoring for events such as parcel delivery, or placed indoors to enhance security detection. More innovative features are also under development together with key customers in the field, targeting their next generation smart door lock. We anticipate that WiseEye adoption in surveillance will significantly increase starting in 2024. Next for an update on our WE2 AI processor, compared to WE1, its predecessor, the WE2 processor offers further advancements in inference speed and ultralow power. In context aware AI, WE2 enables detailed real time computer vision object analysis such as facial landmark, hand landmark, and human pose and skeleton, among others, at extremely low power consumption. This enables sophisticated human expression detection for smart notebook and broader AI applications. Alongside our ongoing collaboration with end customers, we have also made significant progress in partnerships with major CPU and AP SOC players in preparation for their target markets in next generation smart notebooks, surveillance, and a host of other endpoint AI applications. We will provide more details as they come about. In addition to the WiseEye total solution, we are also focused on expanding our Intelli-Sensing Module business targeting users that may be less familiar with AI or wish to incorporate AI capabilities into their applications without significant development effort. This particularly applies to small volume or early stage market engagement applications. The module offerings incorporating WiseEye technology provide clients with a series of highly integrated plug-and-play module boards which are extremely compact in size, user programmable, and loaded with our pre-trained AI models for straightforward system integration. This can effectively shorten customers’ time to market and reduce development costs. To broaden market reach, a series of Intelli-Sensing Modules will be rolled out to cover more diverse markets that cater to various AI needs. The Intelli-Sensing Module solution will also be made available through online resellers, like DigiKey and other SI partners.  Throughout recent quarters, our Intelli-Sensing Module has received excellent feedback with adoptions for various applications. One particularly successful adoption is in parking systems which have been deployed by several vendors in different regions of Asia. Our module offers precise real time motion and occupancy detection to streamline the billing procedure for vehicles. Additionally, our module operates efficiently with ultralow power, making it a viable choice for battery powered parking systems, thereby greatly simplifying the installation process and reducing maintenance costs. Moreover, our AI functionality can include vehicle type recognition which enhances the effective utilization of parking spaces.  Beyond the parking solution, there is a growing interest in applications for our Intelli-Sensing Module in areas such as retail shelf management and human flow monitoring, among others. We are excited about the upcoming growth prospects for this product. Our leading position in ultralow power AI processing and image sensing for endpoint AI applications demonstrates our commitment and conviction to the ongoing development and growth of WiseEye AI business. By leveraging broad ecosystem partners and customers, we aim to maximize market reach and explore more potential endpoint AI applications. While adoption is still at an early stage, we believe our WiseEye AI business will serve as a multi-year structural growth driver for Himax. Lastly for an update on our optical related product lines, with over a decade of optical and optoelectronics know-how and capabilities under our belt, Himax has been offering various technologies, including WLO, 3D sensing and LCoS, driving continuous advancements in diverse fields related to emerging metaverse applications. Additionally, we have other innovative solutions under development to further expand our technological portfolio.  The recent introduction of Liqxtal Graph display technology unveiled by Himax’s subsidiary, Liqxtal Technology, is one illustration of Himax capability to provide more diverse offerings to the industry. The liquid crystal-based optical product provides one-of-a-kind technology that defies imagination through the display of personalized and colored content on the exterior lens of glasses for external viewers to enjoy, while also providing wearers with unobstructed visibility. We expect Liqxtal Graph display technology to create a broad array of application possibilities for wearable devices in the future. Next on our progress on LCoS, following the unveiling of our cutting edge color sequential front-lit LCoS microdisplay at the Display Week in May, several tech giants in the industry have shifted their focus away from micro OLED to our front-lit LCoS for their AR goggles. This shift is demonstrative of our exceptional achievements in both performance and functionality, marked by breakthroughs not only in the luminance performance in full RGB color but also in terms of superior optical efficiency, tiny form factor, and ultra lightweight design. These factors are critical and represent technological advancements that can readily meet rigorous requirements to support next generation see-through goggles. Next, an update on WLO. As previously mentioned, we initiated volume production of our WLO technology to a leading North American customer in the second quarter. The WLO solution is integrated into the customers’ new generation VR goggles to enhance--to enable 3D gesture control. A decent shipment was made in the third quarter in preparation for the upcoming seasonal shopping sales. For our non-driver IC business, we expect revenue to decline mid-teens sequentially in the fourth quarter.  That concludes my report for this quarter. Thank you for your interest in Himax. We appreciate you joining today’s call and are now ready to take questions.
Operator: Thank you. [Operator instructions] Our first question comes from the line of Donnie Teng with Nomura. Your line is open.
Donnie Teng: Hi Jordan and Eric, can you hear me?
Jordan Wu: Yes, loud and clear.
Donnie Teng: Thank you Jordan for taking my question. My first question is regarding your guidance. If I look at your guidance across different product lines or by application, I feel it’s a little bit opposite to the current market conditions, for example smartphone and PC looks like to be recovery while automotive, if you look at the IDM companies’ present guidance, it seems like the auto demand in non-China markets has been weakening, but your guidance shows that PC, notebook and monitor has been slowing down into the fourth quarter, as well as smartphone, while automotive looks like still quite resilient.  Could you kindly explain why there is differences between the current market dynamics versus your guidance? Thank you.
Jordan Wu: Thank you Donnie. To be honest, I don’t--I’m not sure I have a very good explanation to that. I agree with your view that our guidance seems to indicate there was a different direction. As you said, auto, overall the consensus seems to be pessimistic, while smartphone and PC seems to be in early stages of rebound. I think the explanation I can offer perhaps is that for automotive display market, we really dominate the market, and as you recall, the Q1 for this year, there was a sudden drop in demand for automotive display ICs when China started to implement this rather stringent COVID control mandate, which causes a lot of factories to get shut down and so on. In Q2, there was widespread industry-wide EV price competition which kind of led to a lot of customers suspending their order to us. In Q3, we saw a very, very strong rebound, and that rebound is not entirely a reflection of market sentiment as such, rather I think it’s for our customers to restock from where they probably were behind in the first and second quarter. I think the momentum continues into this quarter for us, although certainly the rebound will not be as strong, so we have guided--we are guiding for automotive business for this quarter to be flat to slightly down.  I think that reflects our leading market position, where we have a very comprehensive and thorough market coverage and customer coverage, so when customers need to restock for their production, I think we are probably their first point of call, while in comparison for our smartphone and PC, our position was simply not strong - quite the opposite. Actually, I would highlight for monitor, for example, where our market share was relatively strong, we also saw--we are also seeing in Q4 demand to be rather strong, which--I mean, if you think about it, it shouldn’t be a big departure from the demand for PC, monitor against PC. One would not expect a major departure, but from our perspective, our focus for the order book, we do see a different picture. I think this, again to me, is explained by our different position in these different markets.
Donnie Teng: Understood. Sorry Jordan, so you mean the monitor momentum from your side is better than notebook?
Jordan Wu: Slightly, yes. 
Donnie Teng: Understood. My second question is regarding to the ASP trend across the different product lines. Are you seeing ASPs stabilizing, or by different product there could be still some different kinds of ASP erosion trends in the coming months?  Another thing is that you previously announced that you have more cooperation with Nexchip, and I feel recently that driver IC companies are more aggressively shifting their foundry capacity away from the foundries with higher price to the lower price, so if that would be helpful to your gross margin improvement going forward, if the ASPs not further decline that much, while the foundry costs can be further reduced?
Jordan Wu: First on ASP trend, compared to the last few quarters certainly, ASP is definitely stabilizing across the board because the orders, the overall industry inventory position is now healthier than before. Certainly our customers, our e-panel makers are either just starting to make money, or some of them are still under the water in their P&L, right, and certainly we are aware the macroeconomic conditions have not been looking very positive. I think price pressure because of lack of demand and also because of customers not being very profitable, I think price pressure will persist, although I don’t see a similar kind of price pressure that we experienced in the last few quarters.  I think the comment kind of applies across different sectors. I can’t really tell, you know one sector from another, very different picture, and certainly that picture may vary as time--as we move along into next year, but--and we’ll report in due course, but for now, we don’t see a very different picture across different sectors. You mentioned foundry, China foundry [indiscernible] and also the cooperation with Nexchip. I mean, certainly we have a joint press announcement for our strategic alliance, and that is focused on automotive display. With Nexchip, actually we have kickstarted collaboration on both DDIC and TDDI with mass production for both expected to be around Q4 next year. I think price aside, which certainly is always welcome, price aside, I think having a strong partner in China also helps us in dealing with Chinese customers and covering Chinese markets, where in automotive, especially EV as we’re all aware is very, very important. I think our Chinese customers will certainly favor, welcome this move that we’ve made with Nexchip. Yes, so both in foundry and probably a bit more so for back end, where possible we will look to diversify our supplier base and expand further into China, and longer term, surely I think that will help us with our costs and hopefully alleviate pressure for price.
Donnie Teng: Understood. Maybe just one last follow-up from me. If we look at your fourth quarter guidance, your EPS is in between $0.09 to $0.13. But surprising, I feel the upper range of $0.13 looks like to be higher than my previous expectation if considering your sales is going to decline, like 8% quarter-on-quarter in the mid range. Do you have a lower tax rate in fourth quarter or do you have lower opex in the fourth quarter?
Jordan Wu: Yes, thank you for this question. I appreciate you’re being very diligent in looking at our financials and building your model. Yes, there will be some tax benefits that we will enjoy because of certain tax planning that we made earlier in Q4. I wouldn’t elaborate on details right now, obviously, but yes, tax is one of the reasons, and basically we also run our financial projection model, right, so the EPS range certainly is directly the outcome from those models based on our revenue and gross margin guidance, among other things, and yes, you picked up this fine detail and indeed there will be some tax benefits that we expect to enjoy in Q4, and that is due to earlier tax planning that we did.
Donnie Teng: Understood. Thank you Jordan, I’ll go back to the queue.
Jordan Wu: Appreciate that, Donnie.
Operator: Thank you. At this time, I would now like to turn the call back over to Jordan Wu for closing remarks.
Jordan Wu: As a final note, Eric Li, our Chief IR/PR Officer, will maintain his marketing activities and continue to attend investor conferences. We’ll announce the details as they come about. Thank you and have a nice day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.